Operator: Good morning, and welcome to the H.B. Fuller Q3 2019 Quarterly Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Barbara Doyle, Vice President of Investor Relations for H. B. Fuller. Please go ahead.
Barbara Doyle: Good morning, and welcome to H.B. Fuller's fiscal 2019 third quarter earnings call. Our speakers today are Jim Owens, H.B. Fuller President and Chief Executive Officer; and John Corkrean, Executive Vice President and Chief Financial Officer. After our prepared remarks, we will take your questions. Please let me cover a few items before I turn the call over to Jim. First, a reminder that our comments today will include references to non-GAAP financial measures. These measures are in addition to the GAAP results in our earnings release and in our forms 10-Q and 10-K. We believe that discussion of these measures is useful to investors to assist in the understanding of our operating performance and the comparability of results with other companies. Reconciliation of non-GAAP measures to the nearest GAAP measure is included in our earnings release. Also, we will be making forward-looking statements during this call. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could differ materially from these expectations due to factors discussed in our earnings release, comments made during this call or risk factors in our Form 10-K filed with the SEC and available on our Web site at investors.hbfuller.com. We do not undertake any duty to update any forward-looking statements. Now, please turn to Slide 3 in the investor deck and I will turn the call over to Jim Owens.
Jim Owens: Thank you, Barbara. And welcome to everyone on the call. In the third quarter, we delivered solid operating performance and strong cash flow and weakening environment for global industrial production. Adjusted EBITDA margin of 16% improved 40 basis points versus last year. Strong cash flow performance allowed us to double our debt pay down to 97 million and increase our full year debt pay down commitment to 260 million. Our share gains in Asia in engineering adhesives one of the impact of slower manufacturing activity around the world. We also announced the reorganization of our company into three global business units instead of the combination of two global and three regional business units which we had in the past. This will provide better strategic clarity and growth and will enable significant cost savings and efficiencies. I will talk more about this later in the call. In the third quarter, we continued to drive share gains in strategic markets including engineering adhesives. Our engineering adhesives segment grew organically by mid to high single digit this quarter and double digits year-to-date, when excluding auto related businesses. Strong growth in electronics and new energy markets drove the share gains. And our auto business, while negative outperformed car builds globally this quarter and year-to-date. We improved our margins by leveraging lower raw material costs, delivering acquisition synergies and controlling expenses. Raw material costs were favorable in the quarter and were down about 1% of second quarter levels. This was inline with our expectations. In terms of the Royal acquisition benefits from this business combination continue to accrue H.B. Fuller. We captured an additional 4 million of cost synergies in the third quarter versus our 2018 exit rate and are on track to deliver the plant 15 million of incremental cost synergies this year. And we continue to proactively implement other improvements across the company to drive business efficiencies. In total, these actions are driving higher margins and improved cash flow performance. Strong free cash flow conversion of approximately 150% of adjusted net income combined with funds from the divestiture of a non-core business enable us to repay 97 million of debt in the quarter more than double our debt pay down in the third quarter last year. We are increasing our target for total debt pay down this year to 260 million driven by improvements in our underlying operating margin, our above target debt pay down year-to-date and progress on our working capital measures. This is well above our original $200 million target for 2019. Although, the manufacturing sector slowed in the quarter, our performance continued to be at or above target in each of the three key imperatives we identified for 2019. These are margin improvement, cash flow performance and share gains and engineering adhesives. Now I will review segment performance in the third quarter on Slide 4. From am overall, operating perspective costs were well controlled while share gains in strategic markets were offset by weakness across numerous manufacturing goods sectors. U.S. PMI continued to trend down and drop below 50 in August. U.S. index was in the mid-50s through March dropped to low 50s in April through June and to 49.1 in August. We drove solid margin performance despite weakness in the industrial sector which is impacting the volumes many manufacturers are experiencing. H.B. Fuller drove efficiencies and overall cost reductions in the quarter, while at the same time we continue to make investments in portfolio adjustments to build our capabilities in more highly specified adhesives, which is fundamental to our growth strategy. In the Americas, organic revenues were about flat on a constant currency basis. Volume trends improved versus the first half of the year and the benefits of last year's pricing actions have now been annualized. Adjusted EBITDA margin of 16% was up sequentially versus the second quarter on higher organic volumes and favorable raw material costs. We expect organic revenue and margins in the fourth quarter to remain in line with third quarter performance reflecting economic trends. EIMEA sales were down 7% on a constant currency basis reflecting a continued general market slowdown in core Europe. Eurozone PMI continued to trend lower and averaged 47 in the third quarter compared with approximately 55 in the third quarter of 2018. We improved EBITDA margins in the segment both sequentially and year-over-year as a result of favorable raw material costs, good pricing discipline and strong expense control. We expect the fourth quarter revenue and EBITDA will be up sequentially reflecting the typical seasonal patterns in Europe. Asia Pacific organic sales increased 1% year-over-year led by growth in hygiene and packaging and stable performance in China offsetting slower results in the developed markets of Australia, New Zealand and Korea. Asia Pacific EBITDA performance was very strong with EBITDA margin up 370 basis points year-over-year reflecting increased volumes, improved product mix and lower raw material costs. And the fourth quarter we expect continued modest organic revenue growth and year-over-year margin improvement. Construction adhesives organic sales were down year-over-year, largely driven by the planned repositioning of the portfolio away from underperforming products and customers. Additionally, flooring and infrastructure and utility sales were softer than expected, reflecting declining trends in private constructing spending in the U.S., which were down approximately 5% from last year. EBITDA margin declined by 80 basis points compared with Q2. While lower volumes impacted EBITDA performance, the repositioning of our portfolio has improved our underlying contribution margin and reduced our manufacturing and SG&A costs by more than 5% year-over-year. These actions are strengthening this business for margin growth in 2020. We are not forecasting a strong pickup from the U.S. construction business in the fourth quarter; however, revenue and margin performance for H.B. Fuller will improve sequentially from the third quarter as we start to realize the positive impact of the portfolio repositioning actions we took last year. Lastly, revenues in engineering adhesives increased by 1% organically compared with last year. Strong growth in electronics and new energy and other segments of the business continued in the quarter. This strong performance was offset by slowing results in automotive, which reflects a continued slow down in auto production. The engineering adhesive business excluding automotive showed organic growth of mid to high single digits in the third quarter and double digits on a year-to-date basis continuing our share gains in this key segment. EBITDA dollars increased by 22% to deliver an EBITDA margin of 21% driven by the strong growth in the higher margin parts of our business, lower raw material costs and good pricing discipline. Our outlook for the fourth quarter looks about the same with strong top-line performance in electronics and new energy muted by continued sluggishness in automotive. EBITDA margin performance in the fourth quarter is expected to continue to be strong. Now, before I turn the call over to John, I'd like to review a realignment in our business structure we plan to implement in our fiscal 2020 year, which begins on December 1, 2019. With this realignment, we are taking proactive steps that leverage our deep expertise in adhesive across many markets in order to increase investment in areas of strong adhesive growth while reducing costs and complexity in other parts of our business. We have spent the past several years driving improved growth and margin and building our position in markets that provide greater rates of growth and profitability, achieving nearly 3 billion in annual revenues and EBITDA margins exceeding 15%. In our earnings release yesterday, we announced the next phase of that effort, the realignment of our business from five operating segments to three global business units. Our GBUs engineering adhesives, hygiene health and consumable adhesives and construction adhesives. This new operating model enhances our strategic alignment across end markets and positions, H.B. Fuller to develop and deliver adhesive solutions around the world better and faster and in a more efficient manner. Engineering adhesives will remain a standalone GBU, but with a broader scope. This business will now also include what we have traditionally referred to as the company's durable assembly business, which includes critical end markets such as insulating glass filtration and product assembly. Combining engineering and durable assembly will realize significant synergies through shared technology and factories for the respective end markets with similarly high specified solutions. The engineering adhesives business and model of identifying new opportunities and the design and development stage as generated consistent double-digit organic growth. We expect similar results in the future. Hygiene, health and consumable adhesives or HHC is a new GBU that we created to focus on favorable trends and sustainable packaging and hygiene. It will also allow us to put a more targeted focus on the global beauty and medical care markets where we have a modest presence today, but have great potential for growth and margin improvement. By strategically managing the hygiene, health and consumables business globally, we will better target and resource growth opportunities while operating more efficiently at lower cost. I'm also pleased to announce that Andy Tometich has joined H.B. Fuller to lead HHC. Andy served as the senior business leader at Dow Corning prior to and during the integration into DuPont and Dow. His broad experience marketing and selling specialty materials into diverse end markets like packaging, beauty, construction, semiconductors, and healthcare. He's a true expert in the field, has deep relationships throughout the industry and I'm very pleased to have Andy join our team. Construction adhesives is already reported as a segment and will remain a standalone GBU. Construction adhesives will continue to focus on enabling architects, builders, and construction workers to complete projects in less time at lower cost and with greater durability. After a period of product and customer realignment in 2019, we expect construction adhesives to return to growth with higher margins in 2020. The three GBUs would report in to Ted Clark, the former CEO of Royal Adhesives, who was named H.B. Fuller's Chief Operating Officer in August reporting to me. As COO, Ted will drive execution of our strategy and global growth initiatives across the company. This realignment is a natural and important next step in our company's evolution. All of our market segments have global strategies and require global coordination to address opportunities around the world. Organizing ourselves into global business units will enable us to execute our growth strategies faster while eliminating the cost and complexity of the regional structure. We have seen this model work effectively for engineering adhesives, which as a separate global business has delivered exceptional results including 14% annualized organic growth and adjusted EBITDA margin now over 20%. We are applying the key learnings from engineering adhesives to our other businesses, so they are positioned to replicate this success. The new structure is about accelerating growth. We are more quickly identifying market trends, driving demand for adhesives, streamlining decision-making and resource allocation and speeding up the pace of innovation. Another important objective is to simplify the management of our business and to continue to drive down our cost to serve customers. Through this realignment, we will be increasing direct accountability for results among our sales, technical and manufacturing teams. And by sharing processes and tools globally, we'll increase the efficiency and effectiveness of our functional teams. At the same time, we recognize the need to aggressively manage our cost structure in this challenging macroeconomic environment. As we simplify the business and leverage our global support teams, we are initially targeting savings in the range of $20 million to $40 million by 2021 with approximately half to be realized in 2020 and a challenging macro environment these savings will support our long-term target of approximately 10% year-on-year EBITDA growth. We are in the process of finalizing plans for the new structure and will provide a more detailed view of savings and the cost required to achieve them on our fourth quarter earnings call in January, 2020. This change will not impact 2019 reporting. We will begin to report our financials under the three new segments with our first fiscal quarter in 2020 and we will provide recasted historical results for 2018 and 2019 into the new segments prior to reporting our fiscal Q1 2020 results. Along with the customer and financial benefits of moving to three global business units, this change will also simplify the reporting of our business for you, our investors. I'm really excited about what this new organization will do for H.B. Fuller, for our customers and for our investors. Now, let me turn the call over to John Corkrean to review our third quarter results and our outlook for the rest of the year.
John Corkrean: Thanks, Jim. I'll begin on Slide 6 with some additional financial details on the quarter. Net revenue was down 5.8% versus the same period last year, driven by a stronger dollar and the divestiture of the surfactants business, which combined negatively impacted net revenues by 2.5% in the quarter. Adjusting for currency and the divestiture, organic revenue was down 3% as volume growth in engineering adhesives and Asia Pacific was offset by lower volume and construction adhesives primarily due to the repositioning away from underperforming products and customers in that segment and EIMEA. Americas adhesives revenue were about flat on an organic basis. Adjusted gross profit margin increased 40 basis points year-on-year reflecting lower raw material costs, acquisition synergies and favorable mix. Adjusted selling, general and administrative expense declined about 6% versus last year reflecting the impact of foreign exchange and good control of discretionary expenses. Adjusted EBITDA for the quarter of $116 million was down 4% versus last year. EBITDA was up year-over-year adjusting for currency and the lost EBITDA from the divested business. EBITDA margin of 16% increased 40 basis points versus the same period in 2018. Adjusted earnings per share were $0.86, the same as last year. EPS was up excluding impacts from currency and the domestic business has improved margins, good expense control and lower interest expense associated with our debt reduction offset lower volume and currency headwinds versus last year. On a year-to-date basis, cash flow from operations of 160 million was up 50% compared to the nine month period in 2018. The strong year-to-date operating cash flow as well as the proceeds from the sale of the surfactants business allowed us to pay down $97 million of debt in the third quarter, more than double the amount of debt repayment for the same period last year. With that, let me now turn to our guidance for the 2019 fiscal year. We now expect full year organic revenue to be down approximately 1% reflecting continued slowing global industrial reduction in a tougher operating environment than anticipated mid year. Foreign currency translation is expected to have a full year negative impact of 3% to 4% and the divestiture of the surfactants business is expected to impact sales by about 0.5%. The total reported revenue for the full year is expected to be down approximately 5% compared with fiscal 2018. Adjusted EBITDA is forecasted in the range of $440 million to $445 million for full year 2019 collecting lower organic revenue growth offset by the favorable impact of raw materials and decreased expenses. Adjusted EPS is now expected to be between $2.95 and $3.05. Capital expenditures are now expected to be approximately $80 million in fiscal 2019, we are updating our full year outlook for debt pay down to approximately $260 million from our previous estimate of approximately $250 million. This will put our two year debt pay down in 2018 and 2019 at over $460 million surpassing the target we set out for this period at the end of 2017 by over $90 million. We continue to deliver solid results in an increasingly challenging operating environment with improved margins driven by acquisition synergies and focused expense management as well as strong cash flow driven by working capital efficiencies, we expect both to continue in the fourth quarter.  With that, I'll turn the call back to Jim Owens for some closing comments.
Jim Owens: Thank you, John. In the third quarter, we continued to execute despite a difficult macro economic environment. Unfortunately, these economic challenges have only intensified since June. Additional tariffs have been introduced. Increased uncertainty from the tariffs in Brexit has affected Europe and parts of Asia and now certain end markets in the U.S. are showing signs of weakness. Our revised full year 2019 guidance reflects all of these factors and while there are signs that auto sales in U.S. construction could be improving, we are not factoring this into our guidance. It is true that our results could be better if macro economic trends improve in the manufacturing sector around the world. Well, in this challenging environment, we are delivering strong cash flow performance, improving our EBITDA margins and increasing our share in strategic market segments. I'm proud of our entire team for remaining focused on what we can control, serving our customers, gaining share, responding quickly to market trends and executing efficiently. The realignment of our operating structure into three global business units puts our employees in a better position to continue to win with customers and operate more cost efficiently. We're improving our ability to understand our markets and quickly anticipate and meet customers adhesive needs and we are aggressively managing our cost structure as we deal with the new economic realities. We're confident that simplifying our business under this new operating structure will result in a more nimble organization, well positioned for higher growth. That concludes our prepared comments for today. Operator, let's open up the call for some questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question will come from Vincent Anderson with Stifel.
Vincent Anderson: Good morning. Thanks for taking my question. I know it's early to discuss 2020. But if you kind of held current trends in your head, how much margin improvement would you say your mix shift that you've seen so far this year add on a full year basis?
Jim Owens: Yes. I think you're right. It's a little early to talk about 2020. But, I do think as you point out our mix improvements is positive across a number of our businesses. We continue in engineering adhesives to improve our mix. We did some significant work on our construction adhesive business to improve our mix and some of the things we're doing around the realignment of our hygiene, health and consumables this is will be reported next year is also driven around improving the mix. So I would say a positive number. I'm not ready to put a number on it at this point. Go head, John, you want to comment?
John Corkrean: I would say in general, that's in the last couple of years we probably driven 20, 30 basis points of margin improvement annually related to mix from really faster growing engineering adhesives business at higher margin. And I would anticipate that would be in the range that we'd be targeting next year just on mix.
Vincent Anderson: That's helpful. Thank you. And then, just quickly will the pace and success of the business, real alignment be in any way contingent on completing your ERP investment. And if that's the case, can you just remind us where you are on that from both the spending and an implementation perspective?
Jim Owens: Yes. Our ERP investment as some of you on the call probably know is, is one that we've decided to roll out over a number of years. So, we're taking small chunks of the business and moving it forward. I anticipate that lasting at least another four years. And we've divorced that from our ability to drive these savings. So yes, we get some benefits out of our ERP, but we have overall business intelligence systems that tie our business together. So, no reliance on ERP. And in terms of the terms of cost, maybe John can comment…
John Corkrean: Sure. That I'd say, generally that then about 15 million to 20 million of costs, both expense and capital on an annual basis for the last several years. And I would anticipate, it will probably stay on that pace. That's always factored into targeted capital expenditures for the year as well.
Jim Owens: Right. About half of its expense and half of its [category] [ph].
John Corkrean: Exactly.
Vincent Anderson: Okay. Thanks. And if I could sneak one more in. I think you mentioned a realignment of accountability along with the realignment of the business unit. And it had me thinking, can you discuss the current compensation mechanisms at the sales level for those businesses? Is their sales staff variable compensation more based on revenue dollars or do they get compensated more on gross profit or some other unit profitability metric?
Jim Owens: Yes. It varies a little bit by business unit. And part of what we'll do here is standardize some of those things and a lot -- some of the synergies we're going to create by bringing these businesses together is, is taking out some of the complexity associated with having five segments and five different approaches and simplifying them. Broadly speaking though, we compensate our sales group and certainly on the variable piece on what happens with their, we call it our contribution margin, but it's either a contribution margin or a gross margin is the predominant part. There is some revenue components in some businesses, but more contribution related than revenue related.
Vincent Anderson: That's great. Thank you.
Jim Owens: Okay. Thank you, Vince.
Operator: The next question will come from Mike Harrison with Seaport Global Securities.
Mike Harrison: Hi, good morning.
Jim Owens: Good morning, Mike.
Mike Harrison: Jim, can you talk a little bit about what you saw in terms of the volume trends as the quarter progressed? It sounds a little bit like the month of June was maybe a little bit stronger and you saw some weakening as we got into July and August. And can you maybe provide a little bit of color on how those trends may be varied by region or by specific market segment?
Jim Owens: Well, let me make this point Mike. I think we saw some trends early in the quarter and I think one of the points that John brought up in his script that I think is really important is that when you adjust for the divestiture and currency, our results in Q3 showed positive EBITDA growth and about 5% to 7% EPS growth. And year-to-date, we're showing 5% in the middle of our guidance, 5% EBITDA growth and EPS growth of about 7% to 8%. So, what we saw was we went into the quarter was a little bit of slowing less than what we have. And now the point I've tried to make here, lots of times when I've talked to investors is, we have a resilient business model. And, and when there's a little slowing in revenue, there are levers we can pull in terms of raw material costs that we can get and also expense controls. And I think this quarter was a great example of that, right? We definitely saw through the quarter less revenue growth than we expected. And our ability to drive bottom-line performance in that environment I think speaks to the resiliency of our model and the capabilities of our team, would have been a much better quarter, if we had a positive revenue growth. But in this environment to deliver those kinds of numbers I think was good. So, I would say we saw it early in the quarter. It probably got a little worse as the quarter went on, but I wouldn't say it was broadly like some big decline in period seven or eight. It varied by segment. Is that helpful?
Mike Harrison: Got it. Yes, it does. And then also was just, I think I was surprised to see that pricing declined year-over-year after several quarters where pricing is very consistently been higher. Is that price decline really just a signal that we're starting to see raw materials come lower and that's getting passed through to customers or is it a signal that that may be competitions intensified or something else? And just wondering, should we expect a pricing that continue to be negative year-over-year as we get into Q4 and into 2020 or what are your thoughts there?
Jim Owens: Yes. I think the biggest component is the fact that we're lapping now the big increases we saw last year. So, we made some significant increases in Q2, some other sizable ones in Q3, but not as big as Q2. And then, you're right, Mike, as raw have come down this year, we give some of that back in the market. Some of it is triggered through some agreements we have with customers and some of it is just competitive dynamics. Generally as raws come down, we give some of it back to customers, but less than we get in raws and that's what we saw this year. So, as far as the future's concerned, some of our businesses and especially some of our specialty products in certain segments have annualized price increases that happen at the end the year. So that'll be some positive momentum we will get on price more towards the end of the year. And then, of course, there'll be some give backs as raws come back. So, it'll be a combination of the two as we go forward, but we don't expect dramatic positives or negatives in the next couple of quarters related to price.
Mike Harrison: All right. Thanks very much.
Jim Owens: Okay. Thank you.
Operator: The next question will come from David Begleiter of Deutsche bank.
Katherine Griffin: Good morning. This is Katherine Griffin on for David. So, first Jim in construction adhesives, directionally, how much of the decline in the business has been due to repositioning the portfolio. And minus when you expect the repositioning could be complete and perhaps when could we see your comparison start to get better?
Jim Owens: Right. Yes. So, most of the decline was related to the repositioning. And as I mentioned during the call, we did see some slow down in construction spending that made up the rest of the decline. So that would be what I would say for Q3. Going forward, this repositioning work went forward in earnest in the middle of Q4. So, you'll definitely see a better organic growth rate next quarter, still negative but much better than what we saw this quarter. And you should expect to see positive organic growth in Q1 of next year. You'll also see next quarter improve margins because we'll have the full effect of this thing starting to have. And certainly year-over-year, I mean year-over-year margins in Q4 and then Q1 we should definitely see positive year-over-year margins as a result of the repositioning work.
Katherine Griffin: Okay. Thank you. And I'm wondering how business has been thus far in September. Have you seen any up ticks or as you mentioned that in Europe you get seasonally better demand, maybe coming out of August or if construction-related markets have improved, if some of the decline in activity over June through August was due to weather. So, where are we thus far in Q4?
Jim Owens: Yes. So we're three weeks into our Q4. I would say, what we said in the script was our guidance is based on continuation of every trend that we see. You can find a few pieces of data that are out there, auto sales or even when they're negative, they're better than auto builds have been, housing starts are picking up. So there's a few pieces of data out there that are positive. I wouldn't say that we're predicting some big upturn, but we don't see a lot of negative things happen in here as we go into [P10s] [ph]. So I think that's we're projecting flat and we don't see things that necessarily get us off of that, certainly not in a negative direction.
Katherine Griffin: Great. Thank you.
Jim Owens: Thank you.
Operator: The next question will come from Ghansham Panjabi of Baird.
Ghansham Panjabi: Thank you. Hey guys. Good morning.
Jim Owens: Hi, Ghansham.
Ghansham Panjabi: Jim and John and Barbara, I guess first off on the engineering adhesive segment, thoroughly it's been a workout for us in terms of growth and profitability over the past several quarters. Jim, you called out autos as being particularly weak on at least specific to 3Q, but autos have been weak for a while in terms of the production schedules on a global basis. So can you just give us some more context as to where exactly, are you seeing weakness maybe from a regional standpoint and auto parts, where are you actually seeing the weakness?
Jim Owens: Yes. So, yes, I think you bring up a good point. I mentioned this briefly last quarter, I re-read the script. Our organic revenue growth in EA last quarter was plus 11%. And that was with a big drag on auto. So, underlying we were a lot better than 11% x-auto. And so we're seeing similar trends I think in auto in Q3 versus Q2 that worsening in some other areas. But, I think China's latest reported numbers are minus 12.2% or something is what I saw on the last reported number. So, there's a big decline year-over-year in auto. And we felt that as you point out throughout the year, our numbers are a little better than what we see in the auto builds and that's because of some share gains. But, big negative numbers, pull down your total number. In terms of our business, our business is -- think of our business as tied to things like interior trim applications, headlamp applications, where some of our growth is, things related to more electronic vehicles where we've got some tie ins. We're tying our electronics business into some of the auto wins. So, but think about it in terms of interior trim, headlamps and then electronics is the growing share piece of the business, but usually tier one suppliers.
Ghansham Panjabi: Got it. That's helpful. And then just related to the EA segment, in terms of the new project activity, the customer level, have you seen any deviation from the trends just based on what we're seeing, obviously on the macro and just continued uncertainty more broadly?
Jim Owens: Yes. While the wins are fantastic. I mean, this team continues to go from strength to strength and some of the -- we've got some of the early quick wins with the Royal integration last year and early this year. There's a couple of the bigger Royal integration wins that are in the pipeline Q4 into 2020. So, yes, a lot of momentum with that team. I think there's new applications we're winning. There's an expansion globally, is that business, if you think about the acquisitions we've made in the business, which we had, it was China, U.S., core Europe centric. We're doing a good job of bringing that business now and growing it nicely. And in India, we're getting some growth in that business in Korea. So yes, bottom line is yes, a good pipeline of wins underlying it. And just finally a two-part question, just on the EBITDA margins for the American segment, did I comment where you thought it was below our forecast and also the year-over-year margin trend over the past five quarters. And then, lastly, on the segment realignment in the 20 million to 40 million in cost savings that you referenced. Can you just give us some high level buckets as to how you expect to get those savings? Thanks so much.
Jim Owens: Okay. So, yes. So, I think the Americas margin was broadly in line with what we expected. I think it was up sequentially versus Q2. I think if you maybe why some people's estimates were office, they were comparing it year-on-year to Q3, but I think that's a business you want to look at sequentially. We expected margins to tick up. They did in the quarter. Our long-term goals are to stay in that 16% to 18% range in that business. So, we want to see it up in that 17% to 18%, not the 16% to 17%, but it was a positive up tick. And, as I mentioned in the script, a nice up tick in the volumes quarter-over-quarter driven by some wins in our consumables business. And then, the second question?
Ghansham Panjabi: Was that the cost savings, 20 to 40 for 2020, the realignment plan, the buckets associated with that?
Jim Owens: Yes. So maybe, again, it's -- we're doing the work right now on that. So, I don't want to get into too much detail about where it's coming, but fundamentally I think you can see where it's coming from. The fact that we have three segments instead of five creates in and of itself eliminates some redundancies. Part of the strategic positioning is to make certain we focus our resources on the real growth opportunities. So where there's areas that we have resources that aren't focused on growth, we're going to find a way to trim some of those resources. And then, the other thing is that, on a corporate level, we had a level of complexity in all of our corporate functions managing a combination of regions and global businesses. So on a corporate level, we're able to trim some costs as well. So, I think there's things that naturally come out of this realignment. And whenever you go through a process like this, it's a chance to re-examine everything you spend money on and we're going to do that as well. So I think there's -- those are the buckets, but we think there's sizable numbers there and we look forward to reporting out the details of that next quarter and we'll give you a very clear picture piece by piece.
Ghansham Panjabi: Thanks so much, Jim.
Jim Owens: Thank you.
Operator: The next question will come from Dmitry Silversteyn of Buckingham Research.
Dmitry Silversteyn: Yes. Good morning guys. Thanks for taking my question. The couple of questions, if may. First of all, you completed a small acquisition of -- I think a Carolina-based company in the third quarter -- towards the end of May. So, basically at the end of the second quarter like in construction, did it have any contribution in terms of revenue or margin, positive or negative, for the third quarter? And do you expect something more or less for the fourth?
Jim Owens: Yes. So, you read every detail Dmitry. Very impressive. Yes. That actually was a distributor relationship that Royal had in North America, in the insulating glass business. And we integrated that within the company. So, the impact in the quarter was minimal in terms of the -- both the revenue and EBITDA performance.
Dmitry Silversteyn: Okay. Got it. So, it was basically a customer you were selling to that you now own?
Jim Owens: Right, exactly. When we brought all the capabilities, resources, et cetera. Yes.
Dmitry Silversteyn: Got you. I mean, you've got, should I be -- how much of leaf reading should I be doing here in terms of you buying a distributor? I mean, is this something that, could be a beginning of a longer term trend for you or is this a one off?
Jim Owens: No. To talk about the specifics there. So short answer is no, it's not a long-term trend. We in our insulating glass business sold direct in the U.S. Royal when we bought them, sold direct in Europe, but through this distributor in the U.S., so he had a conflict between the Royal business and ours that we had to resolve. So, it was about resolving that conflict in the market.
Dmitry Silversteyn: Got you, Jim. Thank you for that. Secondly, just to follow-up on an earlier question on pricing, it was down a little bit and I understand the reasons why, obviously, the competitive environment, raw material pricing is coming down, so you have a little bit more room to keep the businesses that you want to keep. What was the -- were the price declines either concentrated in any one region or any one division or business unit, or were they pretty broad based?
Jim Owens: Yes. I think they were -- every business showed either less price increase or a slight price decline versus last quarter. So, yes, it wasn't concentrated in any single business.
Dmitry Silversteyn: Okay. And then, I guess I'm trying, I understand your question on American adhesives EBITDA, but this was the first time in over a year that we saw are down year-over-year, EBITDA margin for that business. What does that signify?
Jim Owens: What does that signify? Yes, I think what you saw last year was an exceptional jump Q2 to Q3 because we put forth a really strong price increase in Q2. And then, we were rebalancing our volume and our position with customers. So, I think it's reasonable. It's that up tick sequentially, but year-over-year, we had a special third quarter last year as the way I look at it.
Dmitry Silversteyn: Yes. I actually looking at it now, you almost get 18% margin in that quarter on the EBITDA line. So yes, we weren't going up against a very tough comp. Okay. And then, final question, Jim, you maybe touched on this, but maybe you can provide a little bit more detail, in this realignment, which, by the way, great that you guys are doing it. I think simplifying, obviously operating structure and managing managerial structure is key to getting your SG&A in order. Besides sort of short-term gains of this $20 million to $40 million in cost settings you're going to generate over the next couple of years, what are some of the sort of more sustainable mid to long-term benefits of this realignment and how do you see, these businesses performing, in the new format and under more perhaps direct management control going forward?
Jim Owens: Yes. Well, thanks for the feedback Dmitry. Yes, I think you're right. It's really, really good for our company and you've followed us a long time, so you understand the complexities that we had and how we had to move forward. I think I tried to make this point in the commentary, the biggest benefit to this are around growth. And what we've done in engineering adhesives is, we've been able to identify trends in markets and then allocate resources aggressively toward the both opportunities. We see those in our other businesses, but the regional structure sometimes got in our way. So, so that's both in terms of a new sustainability initiative that's coming down the road that we can put resources on or a new thing that's happening in the hygiene world that we see an opportunity, or as I mentioned, the medical adhesive space, right? Those were all things that I would say today, we aren't aggressively putting resources behind them. We'll be able to in the future. So, I think the biggest change is our ability to -- and it's also geographic and our engineering adhesive business, they pick the geographies they want to go after based on where the world's moving and in our current structure and some of our businesses because we're regionally managed, we have resources there that we can't ship as well. So, I think the real opportunity is around sustainable growth and ability to tackle big growth initiatives. But the cost benefits are very intuitive. They come from workout exercises, they come from allowing us to simplify our businesses. And I'd say the third piece Dmitry is, we're going to have three businesses that while they are unique and how they go to market and the markets they go after, we can have some standardization of processes which also drive cost efficiencies and simplicity so that people are focusing on mission, which is just serving customers. So, hopefully that answers your question, but, there's a lot of benefits to this on the opposite side.
Dmitry Silversteyn: Okay, Jim. Thanks a lot. Thanks for that response.
Jim Owens: Yes.
Operator: The next question will come from Eric Petrie of Citi.
Eric Petrie: Hey, good morning, Jim.
Jim Owens: Good morning, Eric.
Eric Petrie: You showed nice margin improvement of 400 basis points in engineering adhesives. Why did they ask, are margins different or relatively similar across regions?
Jim Owens: Yes. I would say we look at those by the end segments. So I think the -- in engineer -- you're asking about regions within engineering adhesives. And I think, right, the shift that we're talking about is not a regional shift. It's a shift toward more higher end market segments. Regionally, I would say, it depends on which segment we're strong in, but in any given segment, we're similar. So, electronics margins are similar across the regions. Automotive segment margins are similar across the regions. So, hopefully that answers your question.
Eric Petrie: Okay. And you commented on medical being end market growth opportunity. Should we think of the ramp in that segment similar to engineering where you have to be specked in or what kind of lead times to recognize, revenues and profitability should we expect?
Jim Owens: Yes. I think you can think of it in terms of maybe not all of engineering adhesives, but what we saw in the electronics business and think about what we did within engineering, adhesives. We started with electronics. It was a business actually that when we started about the size of our current medical business. And then, we put lots of investment behind it and we were able to grow -- sizable growth. So, still very early days for me to be committing. But that's what we're looking at. I don't think you're going to see some big impact from our medical and beauty business in 2020 and the overall corporate numbers, but two or three years from now, I think it'll be something you'll hear us talking about having a sizable impact. Go ahead, John.
John Corkrean: I think to your question on the ramp and getting specked in, I would say it is more similar to electronics business and some of our other businesses. But, that's one of the reason it is higher margin and it is more sticky, so that's one of the reasons we like it as well.
Eric Petrie: Okay. And then, lastly, do you see any risks for your revised guidance, in terms of regional, does Europe or China keep you awake at night or how should we look at downside risk, the guidance?
Jim Owens: Yes, I think when we look at what happened this quarter, it was certainly a lot worse than we expected going into Q2. I think when I look at Q4, I don't see a precipitous downturn from that, I see, certainly even, and as I mentioned, you could, if you wanted to, point to some things that are very positive that that could make it a lot better than that. But we don't see a lot of downside to this. I think would be the fair answer.
Eric Petrie: Okay, helpful. Thanks Jim.
Operator: The next question will come from Jeff Zekauskas of JPMorgan.
Jeff Zekauskas: Thanks very much. You're moving from a regional business model to more off global operational model. Exports a large part of your business, like of 3 billion revenues that you have -- how much are export revenues?
Jim Owens: Yes. I wouldn't call it a global functional model, I think exports are very small part of our business. So, yes, but I think the way to think about our business and why this is really important is, decisions are made in one part of the world that drive revenue in another. So, if you're in the electronics business, decisions made in California are driving revenues in Asia. Equipment manufacturers that sell packaging equipment around the world specify new packaging that ends up being sold all over the world. So, it's strategic -- it's driving off of the strategy of where our business decisions made. And oftentimes they're made in one part of the world and the revenue is in another part of the world. So that's why that's really important for our business.
Jeff Zekauskas: So, basically the theory is, you have regional managers and you have functional managers and what you think is you need only, you want to blend those two strengths, is that is and downsize it?
Jim Owens: Yes. I would say the way to think about it, Jeff, is we have global strategies regionally executed, and that's where we run our engineering adhesive today, right? So, we have a global aerospace strategy, a global electronics or global auto strategy, and then it's executed in each one of the regions. That's what we would do more and hygiene, in packaging, in health and beauty. In the past, we sort of had a backwards, right? We were building these global strategies but the leadership was all regional. So, it's global leadership, global strategies regionally executed, but regionally executed within those businesses. So, I'm not going to have a regional execution across the businesses. There's going to be a regional leader for Europe in each one of those businesses. So, hopefully that helps.
Jeff Zekauskas: And then, lastly, the detrimental margins and construction products were really pretty large. And I had thought that that had been an area where you had rationalized some of your plant functions, you had some newer plants and you had closed some older facilities, which I thought would have listed your -- or would had been a positive in terms of EBITDA growth. So can you talk about why the EBITDA drop is so large relative to the revenues and what have you done on the cost side positively in that area?
Jim Owens: So, I'll let John comment further. I mean, I'm not sure if I understand your question. I think we've improved our -- it's a high margin -- it's a high incremental margin business. And as you point out, we've improved it incrementally. The problem is, when you have negative revenue, then the impact on your EBITDA is even greater, right? So when you have high margin businesses that are down, which we've got you have now. As they grow again next year, you'll see very positive increments. So yes, it's a sizably positive incremental margin business, which one of the reasons we really like it strategically. In terms of cost reduction this year, I mentioned in the script, we've got a 5% year-over-year reduction in total SG&A [indiscernible] in that business. So, we pulled out a lot of costs that's a combination of shift projections of plants. We've taken some resources that were focused on product lines and customers that weren't profitable. We took those out of the business and we closed the facility last year. So we did do a lot of cost as we [indiscernible].
Jeff Zekauskas: Okay, great. Thank you.
Jim Owens: Go ahead, John.
John Corkrean: You look at the contribution work, sort of the underlying revenue minus material box is up versus last year related to this repositioning of the portfolio. So, I think if you look at the cost take out and underlying margin improvement, it is really getting weighed down by volume. But, I think we all have a much healthier business as we start to annualize that and add volume.
Jim Owens: I think the overall point that this is a high incremental margin business is true and we need to get it growing so that we can see the benefits of that.
Jeff Zekauskas: Okay, great. Thank you so much.
Jim Owens: Thank you.
Operator: The next question will come from Rosemarie Morbelli of G Research.
Rosemarie Morbelli: Thank you. Good morning everyone.
Jim Owens: Good morning, Rosemarie.
Rosemarie Morbelli: Jim, you mentioned auto being down and based on what we read and what we hear, it sounds as though auto built might be stabilizing, but it also sounds as though heavy truck and ag equipment are beginning to show some slow down. So are you involved in those particular applications as well or is it mostly auto?
Jim Owens: Yes. Our exposure to heavy truck and equipment is very -- is much smaller than our automotives. So, yes, we sell into those markets, but it's very, very small incrementally.
Rosemarie Morbelli: And do you see a change in the recent trend in that particular area?
Jim Owens: In that particular area? Yes, I think again the external data says that there's a slow down, especially in the U.S. and some of the ag equipment. But I don't have a good read through Rosemarie early. But, yes, I think the overall market data is out there on that area. And in terms of your comment on builds, I don't think there's any data that shows builds are moving. There is some data that shows that sales aren't as bad as builds, so that would imply that builds are going to get better. But, no data yet that builds are moving that I've seen.
Rosemarie Morbelli: Okay, thanks. And then, you mentioned that you started electronics at a very small level. And this is a same situation for medical. Can you remind us [indiscernible] the size of electronics when you started and what size it is today?
Jim Owens: Yes. So that's not something we typically share publicly on the sub-segment level Rosemarie, but I think I've said in the past it was low tens of millions of dollars when we started, right? So…
Rosemarie Morbelli: And has it doubled, tripled?
Jim Owens: It's grown very significantly.
Rosemarie Morbelli: All right. And then lastly, if I may, on the construction business, is that remaining as thoroughly U.S. business? Are you planning in expanding it globally?
Jim Owens: Yes. Well, we want to get it running really, really well in the U.S. There are definite global opportunities with the portfolio we have. The roofing business we bought from Royal has some clear and short-term opportunities in other parts of the world. And we do have a piece of that business that's in Australia. So, yes, I think in the long run, we think that the technology and the approach we have has a global presence, but that's not our short-term priority. Our short-term priority is getting back to growth and expanding the margins in 2020. 
Rosemarie Morbelli: Okay. And then, if I may again, if I look at your 2020 targets by the different segments, if we bunch all of those up based on the new segmentations, are we looking at similar targets or because of the current environment? There is no way you are going to get to those numbers.
Jim Owens: Yes. I think what we said at the end of last year, Rosemarie, when we reestablished the targets, we think we have an opportunity in this business to grow our EBITDA by 10-ish percent, which would imply a higher than that, maybe 15% EPS growth over the next few years. And we're building our plants with those ideas in mind. So, it's a slower world might have to get more cost out, but that's what we're looking at in terms of our future over the next few years.
Rosemarie Morbelli: All right. Thank you.
Jim Owens: Thank you.
Operator: The next question will come from Paretosh Misra of Berenberg.
Paretosh Misra: Great, thank you. So in your engineering adhesive business, how much is currently automotive?
Jim Owens: Yes. So again, we don't describe that out publicly, but I think you can -- well, I think the thing we have said is, it's a little over 5% of the overall company is our exposure.
Paretosh Misra: Got it. So then, for the rest of the engineering portfolio -- engineering adhesive portfolio, what would you say, is that kind of the right growth rate -- organic growth rate in the current environment, like it's high single-digit achievable?
Jim Owens: Yes. Certainly that are better. I think our average for the year is double-digit. We're getting a lot of wins in that business. All those markets are slowing down as you saw in Q3, but it's also a lumpy business. Some of these things come in from quarter-to-quarter. So, I would say x-auto, we're delivering double digits and even in this environment, that's our expectation overall.
Paretosh Misra: Got it. Fair enough. And then, moving on to construction, and I'm sorry if I missed that, but can you quantify maybe just ballpark, how much revenue this year you lost because of portfolio actions you took?
Jim Owens: Yes. I think we said in this quarter, it's a little more than half of the -- well, it's more than half, not even a little more. So, the majority of it is in the portfolio mix and the rest of the shortfall this quarter is because we saw sizable decline in construction spending versus what we saw last quarter.
Paretosh Misra: Got it. And a last one for me, Q4, what's your raw material assumption?
Jim Owens: Yes. We're assuming raw materials are flat. I think there's generally a little more favorability across the batch, but there are certain materials that are going up. So, overall flat.
Barbara Doyle: Flat to Q3.
Jim Owens: To Q3, not the prior year to Q3.
Paretosh Misra: Understood. Thanks guys and good luck with everything.
Jim Owens: Okay. Thank you.
Operator: The next question will come from Christopher Perrella of Bloomberg Intelligence.
Christopher Perrella: Hi, good morning. Hey, quick question. In terms of the order book, across the businesses, and maybe it varies depending on the end markets, but what's your visibility in your orders for the next couple of months or how far out does it extend?
Jim Owens: Yes. So customers in our business, most of them order a month in advance or less. So, it's a two to three lead time, weekly time business. So and it varies a lot by business and by market.
Christopher Perrella: All right. And then..
Jim Owens: We do have a lot of visibility on our wins and our business overall, but actual orders was your question. And that's the timing on that.
Christopher Perrella: And then the -- with the accelerated bad debt pay down ahead of schedule. And I know you have the target for next year or that you're looking though the leverage ratio that you're looking for. Did you, I guess it's the pace of debt pay down going to slow going forward, once you get through this year. And what does that free up in terms of cash?
Jim Owens: Yes. We've got a very aggressive view on what we need to do in debt pay down. I think we've made a great acquisition in Royal. We levered higher than we would normally do. And our view is that's a key priority for us and for our investors. So, you'll see in all kinds of environments, us taking the steps necessary to drive debt, pay down, not just along the commitments that we've just up for this year, but also we expected aggressive pay down again in 2020.
Christopher Perrella: All right. Thank you very much.
Jim Owens: Yes. Thank you.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Jim Owens for any closing remarks.
Jim Owens: Okay. Well, thanks everybody for your time today. It's been -- what I see as a very positive result in a tough environment. We're committed to deliver for our investors, and I think our next step in our realignment of our business, we'll also show a very positive step. So thanks for everybody's time today.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Have a great day.